Operator: Good morning, and welcome to Townsquare Media First Quarter 2025 Earnings Call. As a reminder, today's call is being recorded, and your participation implies consent to such recording. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. With that, I would like to introduce the first speaker for today's call, Claire Yenicay, Executive Vice President.
Claire Yenicay: Thank you, operator, and good morning to everyone. Thank you for joining us today for Townsquare's first quarter financial update. With me on the call today are Bill Wilson, our CEO; and Stuart Rosenstein, our CFO and Executive Vice President. Please note that during this call, we may make statements that provide information other than historical information, including statements relating to the company's future expectations, plans, and prospects. These statements are considered forward-looking statements under the safe harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties that could cause actual results to differ materially from these statements. These statements reflect the company's beliefs based on current conditions, but are subject to certain risks and uncertainties, including those that are detailed in the company's annual report on Form 10-K filed with the SEC. During this call, we may discuss certain non-GAAP financial measures, including adjusted EBITDA. Such non-GAAP financial measures should be used in conjunction with all the information contained in the quarterly, year-end, and current reports available on our website. I'd also encourage all participants to go to our corporate website and download our investor presentation, as Bill will reference some of those slides during our discussion this morning. At this time, I would like to turn the call over to Bill Wilson.
Bill Wilson: Thank you, Claire, and thank you all for joining us this morning. It's great to reconnect with everyone. We're pleased to share our first quarter results with you today, which demonstrate the strength of our digital platform and solutions and validate our Digital First Local Media strategy with a focus exclusively on local markets outside of the top 50. We are proud to share that our first quarter results met or exceeded our guidance that we provided on our last call. We are also proud that the execution of our business model allows us to deliver solid and consistent results, while also producing strong cash flow even during these uncertain macroeconomic times. As a result of our digital first strategy, this morning, we are also reaffirming our full-year net revenue and adjusted EBITDA guidance we provided in early 2025. In the first quarter, our guidance was that total net revenue would be negative 2% to flat year-over-year, and it finished right in line with our expectations, approximately flat ex-political and negative 1% year-over-year with political. We also provided guidance that first quarter adjusted EBITDA would be negative 3% to up plus 3% year-over-year, and the actual result was better at positive plus 3.5% year-over-year, above the high end of our guidance. By now, it should be very clear that Townsquare has transformed from a legacy broadcast company into a Digital First Local Media Company and that our digital platform and digital execution sets us apart from others in local media. In 2024, approximately 52% of our company's total net revenue and 50% of our total segment profit was generated from our digital solutions. In the first quarter of 2025, our total digital revenue grew plus 6% year-over-year. And as a result, our digital revenue in Q1 2025 grew to be a very significant 57% of our total net revenue, which as highlighted on Slide 11, is more than 2x the industry average. Total digital segment profit increased a very strong plus 16% year-over-year with a profit margin of 25% and digital first quarter contribution grew to be 62% of our total segment profit. This point bears repeating. 57% of our revenue and 62% of our profit came from digital sources in the first quarter, the highest percentage of digital revenue that Townsquare has achieved yet. As we have consistently stated for many years, digital is and will continue to be Townsquare's growth engine, the area where we focus the bulk of our investment capital going forward, consistent with our strategy of being a Digital First Local Media Company and further differentiating us from others in local media. And during a challenging first quarter for traditional local media, this strategy and our execution of our strategy paid off. Let's dive into the results of our two digital divisions, starting with the fastest-growing business for Townsquare, Ignite, our Digital Advertising business. As I stated would happen on our last call, our Q1 digital advertising net revenue increased high-single digits with revenue increasing plus 8% year-over-year. Our strong digital advertising performance has been driven by our digital programmatic business, which makes up approximately 60% of the segment's revenue and has strong organic growth opportunities. As a reminder, our digital advertising programmatic platform provides our customers with precise targeted solutions, giving them the ability to reach a high percentage of their potential customers across desktop, mobile, connected TV, e-mail, paid search, and social media platforms, utilizing display, video, and native executions. We essentially act as a full service digital agency for our clients from designing creative services to buying inventory, optimizing a campaign and providing real-time reporting and analytics and insights. Therefore providing a level of service that is often not available in the markets we operate. In addition, we are simply able to offer a more cost effective campaign to our clients than most of our competitors, given our scale across our 74 market footprint and our in-house proprietary demand side trading desk that is integrated with more than 15 digital advertising buying platforms with access to all major advertising exchanges, and therefore, more than 250 billion impressions per day. As we have shared on previous calls, we are confident that our third-party media partnership model launched in early 2024 will be a meaningful growth driver for our digital advertising business in the future years. I am pleased to share that in the past couple of weeks, we have signed up two additional companies, one in Sioux City, Iowa, and one in Salt Lake City, Utah. To date, we now have five local media partners under this new division and are optimistic that we will be adding more partners before year's end. As a reminder, as a result of our media partnership strategy, we are able to enter new markets to offer programmatic digital advertising solutions without having to acquire radio broadcast assets in order to do so. In this capital light model, we partner with others in local media and handle all the major components of the digital advertising solution, including managing the creative, buying, optimization, and customer support of the digital campaigns and importantly, effectively train our partner sales team to sell our solutions. In 2025, this initiative will add less than $10 million of revenue, but we expect that in three to five years, it can grow to be at least $50 million of revenue for Townsquare at approximately a 20% profit margin. Ultimately, our goal with this initiative is to become the chosen provider of digital programmatic advertising to broadcasters and digital agencies in local medias outside of the major cities. Looking to the second quarter, we expect strength in digital advertising revenue will continue with year-over-year growth rates in the mid-single digits. This growth will continue to be driven by very strong growth rates in programmatic digital advertising revenue. Let's now turn to our second digital business, which is our subscription-based digital marketing solutions, SaaS-based business, Townsquare Interactive. We are pleased to share that as expected and shared on our last call, we returned to year-over-year segment profit growth in Q1 for the first time in two years as first quarter segment profit increased plus 22% year-over-year or plus $1.1 million. This was a fantastic result as first quarter profit margins expanded to 32% as opposed to our customary 28% profit margin we're used to seeing. However, as we shared previously, we don't expect to remain at this level of profit growth or margin for the remainder of the year as we continue to invest heavily in the business. Revenue in the first quarter also grew for the second consecutive quarter on a year-over-year basis, doubling Q4's growth rate of plus 2% year-over-year to plus 4% year-over-year in Q1. Looking forward, while we anticipate year-over-year growth rates to continue, we expect the rate of growth to be more moderate as we continue to improve our execution. For example, in late Q4 and early Q1, we made some changes to our sales team to align culture and incentives with our goals, which is consistent and strong profit growth. This included changes in personnel as well as in compensation structure. Similar to the changes we made in the last two years to our customer service model, we are very confident that these changes are setting up Townsquare Interactive for the next decade of efficient and profitable growth and success. Looking to Q2 2025, we expect Townsquare Interactive's revenue to grow modestly year-over-year, and we expect profit growth to again be strong and to be at around a 30% profit margin. In the long-term, we remain very confident that we have a long sustainable runway ahead of us with Townsquare Interactive. With an addressable market of nearly 9 million target customers, as outlined on Slide 14, we are only scratching the surface. With our existing subscriber base, superior product offering, including our business management platform, and a huge market opportunity, I am confident that Townsquare Interactive is on track and setup for long-term profitable growth and success. We view local radio as an extremely valuable asset with significant cash flow properties, unparalleled consumer reach, and an important local connection to our audience. However, radio is not a growth driver. And in the first quarter, broadcast advertising net revenue excluding political, performed as we telegraphed on our last call and declined negative 8% year-over-year and negative 9% in total, and we anticipate similar performance in Q2. In fact, as we have been stating for a number of years now, we take the view that broadcast is a mature cash cow business that will continue to decline moving forward as businesses will continue to share shift from traditional advertising to digital advertising. Thankfully, we are often the beneficiary when share shifting occurs as we often have the most comprehensive set of digital advertising solutions available in our markets. And as a reminder, our digital product profit margins are equivalent or at times slightly higher than our traditional broadcast profit margins. Let me state that again. As the local media narrative over the past decade is that digital margins were lower and didn't always make up for higher margin broadcast business, Townsquare is different and differentiated. As a result of our talented team and organically building our own technology platforms and solutions over the past 15 years, Townsquare's digital product profit margins are in line with our traditional broadcast profit margins. And thus, our overall profit margin profile is stable as a result of the advertising share shift from broadcast to digital. Despite broadcast revenue declines, we outperformed the industry not only digitally, but also again in our broadcast business in the first quarter, gaining local and national broadcast market share according to Miller Kaplan estimates. With our differentiated local content on our local radio broadcast, we believe that we continue to gain broadcast and total market share across our market footprint while also generating a solid profit as we carefully manage expenses to maintain a strong broadcast profit margin. And now Stu will go through our results in even more detail as well as provide Q2 guidance for revenue and profit. All yours, Stu, take it away.
Stuart Rosenstein: Thank you, Bill, and good morning, everyone. It's great to speak to you today. We're very pleased to report that our first quarter results met our revenue guidance and exceeded our adjusted EBITDA guidance. First quarter net revenue, excluding political, was approximately flat in the first quarter, decreasing only 0.5%. In total, first quarter net revenue decreased 1% year-over-year to $98.7 million, within our guidance range of $98 million to $100 million. First quarter adjusted EBITDA increased 3.5% year-over-year to $18.1 million, which was above our guidance range of $17 million to $18 million as adjusted EBITDA margins expanded from 17.6% in Q1 2024 to 18.4% in Q1 of this year. As a reminder, in the first quarter, we typically have the lowest revenue of the year due to advertising cyclicality. So our margins are typically lower in our advertising segments in the first quarter as a result. Townsquare Ignite, our digital advertising segment, continued to deliver very strong growth with first quarter net revenue increasing 7.6% year-over-year. As Bill also noted, we expect strong digital advertising revenue growth rates to continue in 2025 with Q2 digital advertising growth in the mid-single digits. Our Q1 digital advertising segment profit increased 12% year-over-year with a profit margin of 21.5%. As we shared on our last call, we expect full year margins to be in the mid-20s for this business going forward, consistent with last year, although there may be variations from quarter-to-quarter depending on advertising seasonality and the timing of investments, particularly those of new hires as well as the ramping up of new media partnership agreements. Townsquare Interactive, our digital subscription Marketing Solutions segment continued to demonstrate growth in the first quarter. In the first quarter, as expected, Townsquare Interactive net revenue doubled from Q4's 1.9% year-over-year to 4.2% year-over-year revenue growth in Q1. We're thrilled to share that as expected. Townsquare Interactive returned to year-over-year profit growth in the first quarter with Q1 segment profit increasing 22% year-over-year or a segment profit growth of $1.1 million. Segment profit margins were very strong at approximately 32% in Q1 2025. And for the full year, we expect Townsquare Interactive's profit margin to be above 30%. In 2025, we're very confident in our expectation that we will deliver strong profit growth for our Townsquare Interactive business, which is very beneficial after the profit losses in 2023 and 2024. As Bill noted, we're very pleased with Townsquare Interactive's profit performance. First quarter broadcast advertising net revenue decreased in line with our expectations, declining 8.3% excluding political and 9.1% in total, each as compared to the prior year. Broadcast segment profit margins dipped to approximately 20% in the first quarter, in part due to revenue declines and in part due to seasonality. Our first quarter broadcast profit margins are typically the lowest for our year. We expect that our Broadcast segment profit margins will return to the mid-high 20s for the remainder of this year. Our first quarter net loss was $1.5 million or $0.12 per diluted share as compared to net income of $0.06 per diluted share in the prior year period. We'd like to remind you that any benefit or provision for income taxes included on the face of the income statement is for GAAP financial statement purposes only. We maintain significant tax attributes, including approximately $96 million of federal NOL carryforwards and other substantial tax shields related to the tax amortization of our intangible assets. We continue to believe that we will not be a material cash taxpayer until approximately 2028. We ended the quarter with $6 million of cash, down approximately $27 million from year-end due to payments, including an $18 million of interest payments, $3 million of dividends, and $28 million of fees associated with our February refinancing. Excluding these fees from the refinancing, our cash balance would have increased in the first quarter. As we shared on our last call in February, we completed the refinancing of our bonds, issuing $470 million of term loans and drawing $10 million of our new $20 million revolver at closing. Following the closing and prior to the end of the quarter, we repaid $3 million of that revolver, ending the quarter with $477 million of debt outstanding and $6 million of cash on our balance sheet. As of March 31, our net leverage was 4.67x. As always, our #1 priority is to invest in our local business through organic, internal investments that support our revenue and profit growth, particularly our digital growth engine. We plan to continue to invest in our digital product technology, sales, content, and support teams, specifically in our Townsquare Interactive and Townsquare Ignite businesses to maintain our strong competitive advantage in these markets outside the top 50 cities. In addition, we plan to use our excess free cash flow to reduce our debt through both mandatory and voluntary debt repayments and, of course, support our high-yielding dividend. Our Board has approved our next quarterly dividend payable on August 1 to shareholders of record as of July 18. The dividend of $0.20 per share, which was just raised last quarter, equates to $0.80 per share on an annualized basis and implies the annual payment of approximately $13 million based on our current share count and a dividend yield of approximately 11.5% based on our current share price. We believe our strong cash flow characteristics will allow us to continue to invest in our business, support our dividend, and allow us to de-lever going forward. Turning now to our second quarter outlook. We expect second quarter net revenue to be between $114 million and $116 million. As previously detailed on this call, we expect Townsquare Ignite, our digital advertising business, to be at mid-single digits, Townsquare Interactive to have modest revenue growth, yet continued strong profit growth and broadcast revenue to decline in line with Q1's performance. We expect second quarter adjusted EBITDA to be between $25 million and $26 million. For the full year, as Bill highlighted, we are reaffirming our expectations that revenue will be between $435 million and $455 million and that adjusted EBITDA will be between $90 million and $98 million. As a reminder, embedded in this guidance is the loss of political revenue of $10 million to $11 million as we typically get between $2 million and $3 million of political revenue in these non-election years. And with that, I will now turn the call back over to Bill.
Bill Wilson: Thank you, Stu. Well done, as always. And thanks to everyone for taking the time to be updated on Townsquare's Q1 results this morning as well as our outlook for Q2 and the full year 2025. We greatly appreciate it. The transformation of our company that we have been diligently working on for the past 15 years is clearly beginning to become more apparent to more of our external stakeholders. Sometimes it takes challenging macroeconomic environment to serve the purpose of highlighting how differentiated Townsquare now is from others in local media. We have transformed and evolved, and now we are a Digital First Local Media Company. Trust, as a result of our ongoing increase each year of the percentage of digital revenue and percentage of digital profit, as I highlighted earlier, in Q1, 57% of our total revenue was generated from our differentiated digital solutions, our highest percentage ever, and 62% of our total profit was digital profit. We want to reiterate that we are very confident in, one, our Digital First Local Media strategy with two strong digital operating businesses, Ignite, our digital advertising; and Interactive, our SaaS-based digital marketing solutions. And two, our focus on markets outside of the top 50 in the United States. This point cannot be repeated enough as operating outside of the top 50 markets is a major point of differentiation and a major competitive advantage for Townsquare in our view. And three, the long-term profitable growth potential of our digital platform and thus Townsquare overall. In addition, we are confident in our ability to continue to deliver attractive current returns to our shareholders in the form of a high-yielding dividend while also focusing on the financial health of the company by reducing our net debt levels through strong cash generation and debt reduction. In a rapidly changing landscape for consumers and local businesses, it has never been more important to embrace transformation and evolution. Transformations don't have to require a change of fundamental goals. At Townsquare, in 2025, we have the same goal that we had when the company was formed in 2010. We want to continue to be the best-in-class in entertaining and informing our audiences and communities across all platforms while super serving our clients and partners with world-class marketing and advertising solutions to grow their business and achieve their goals. As always, we are going to create our own opportunities, not wait for them to show up or present themselves. We create opportunities and overcome challenges. It's the Townsquare way. In the words of Peter Drucker, "The best way to predict the future is to create it." And that is exactly what the Townsquare team is doing each and every day. We wouldn't have the confidence in our long-term success without the Townsquare team's effort, passion, and commitment that is directly driving our growth and innovation each day. I could not be more appreciative of our Townsquare team and their tremendous work. With that, operator, at this time, please open the line for any and all questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from Michael Kupinski of NOBLE Capital Markets. Please go ahead.
Michael Kupinski: Thank you. Good morning and thanks for taking my questions. And congratulations on your solid quarter. A couple of questions here. On Ignite, it seems like there are companies trying to get in the space. And I was just wondering maybe if you could just talk a little bit about the competitive landscape in your markets outside of that top 50. And then if you can talk a little bit about what percent of revenues from Ignite is coming from markets that you do not currently have radio stations in?
Bill Wilson: Good morning, Michael. Thank you for the questions and noting the strong solid Q1 performance. It's a great question because I obviously just highlighted in the closing. We have for a long time, and I think continue to reinforce that operating in markets outside the top 50 cities in the United States is a significant competitive advantage and a strong point of differentiation. So your specific question about Ignite and what the competitive landscape looks like, there's multiple competitors in all of our 74 markets that are doing digital advertising, be it television stations, be it outdoor, be it newspaper, being smaller shops. What separates us from others are many points. I think the easiest way to describe it is we are, in essence, a full-service digital agency from coming up with the marketing plan, the creative, testing the creative, buying our own inventory, we have over 100 buyers now of inventory that are optimizing constantly to the key performance indicators of our clients. The insights and research we provide our clients are unparalleled in my view, that not only influence their future digital advertising, but influence their advertising overall as well as their marketing message and at times even their in-store collateral. So I think that's one of the key things that separates us apart, I think, in general. And then when you go outside the top 50 markets, I think we're bringing a level of sophistication and scale that just is not taking place in our markets. And I think that's why you're seeing our media partnership division continue to grow. I noted earlier that we signed up two more. Sioux City, Iowa, operator was one and one operator in Salt Lake City, and there's a very vibrant pipeline. In terms of how much the media partnership division contributed to our overall digital advertising, it's worth noting just highlighting, we're quite proud of the fact that 62% of the total company's profit at this time comes from our digital solutions and 50% of our total company revenue comes from our digital solutions, which is just again, unparalleled in the local media space. And we had strong digital advertising in Q1 of plus 8%. So we had about $37 million of digital advertising. In terms of media partnerships, that was around $1 million. So obviously, a very small piece. As I've shared, on a full-year basis, we expect media partnerships to be below $10 million, probably in the $6 million to $8 million range. But in Q1, that was $1 million because we're continuing to onboard our existing partners. So I'll pause there, Michael, and turn it back to you for any other follow-ups or questions.
Michael Kupinski: Yes. Just a couple of quick ones. On the legacy broadcast business, how many of your clients are advertising exclusively on broadcast? Or maybe the better way to look at that is what percent of advertising on your broadcast stations are also on your digital platforms?
Bill Wilson: Yes. The large majority of our broadcast advertisers are also buying digital. What we've been telegraphing for a number of years now is we view our broadcast business, and we love our broadcast business, the connection to the community, we reach 50% of the adult population through our AM and FMs alone on average in our 74 markets, which is just extremely powerful. And again, that would not be possible if we were operating in the top 50 markets. So again, that just speaks to your first question earlier about the competitive landscape. So the large majority of people who are buying broadcast are also buying our digital solutions. But what we've been telegraphing is there's clearly a share shift, and that's been going on for a long time. There's advertisers who are moving down the funnel and shifting their dollars from legacy media, be that radio broadcast, television broadcast, direct mail, outdoor newspapers to digital. And one of the key things to note, and I think I highlighted this in the closing again, is there's been a narrative out in the local media space that you're trading traditional dollars for digital times. And that couldn't be further from the truth for Townsquare. One of the other things that separates us apart is that our digital profit margins are equal and sometimes higher than our traditional broadcast margins. So as people do share shift from broadcast to digital, and we've been experiencing that for many years, we actually pick up the digital advertising and operate at the same margin, if not higher. And we're able to do that because 15 years in, we've built our digital solutions through an incredibly talented team that's won many awards now in our product and engineering team. So that is one of the reasons we are able to operate at such a high profit margin with our digital. The last thing I'll say on broadcast because we also noted this earlier is that even in a declining market, it's important to recognize how local we are. And based on that locality and being one of the largest producers of local news and information in our 74 markets, we're super serving what I would call these news deserts where newspapers have stopped publishing the paper. We've talked about this on prior calls. It's a significant attribute to us because our digital advertising is 60% programmatic, but 40% owned and operated. So continuing to engage that audience and monetize that audience on our owned and operated is significant. And the last point I'll make on broadcast is we're taking share from others strictly from broadcast. We see that from our Miller Kaplan results, and we hear that also anecdotally that because we have this full suite of marketing solutions, we're getting more broadcast dollars even in a declining market. So hopefully, that speaks to your original question in terms of the percentage. It's pretty much for all intents and purposes, people who are buying broadcast are buying some sort of digital solution, the large majority, over 85%. But I'll pause there, Michael, and toss it back to you.
Michael Kupinski: Yes. Thanks. And just one final question. Obviously, the FCC is kind of telegraphing that they would be interested in lifting regulations and I was just wondering if you could just talk a little bit about that potential environment and whether you'd be interested in buying radio stations? Do you use those as lead gen for your digital products and so forth. That's kind of a lead-in from the question I asked earlier. But what are your general thoughts about how you might take advantage of the prospect of having some deregulation in terms of ownership restrictions in the broadcast industry?
Bill Wilson: Yes. Great question. And we're quite excited about the opportunity and the potential for deregulation. As you know, we've been quite vocal for a number of years that we believe the rules are completely antiquated and the media landscape has changed dramatically, and the rules have been the same for decades and decades and decades. So we welcome that change. We're in a very, very fortunate situation. We have two paths. We can grow organically quite nicely. We've demonstrated that. And then in terms of what I call the capital-light strategy of our media partnerships, we now can partner with great companies in the local media space and drive incremental digital revenue for them and incremental digital revenue and profit for us without having to deploy much capital other than human capital. So that is one path that we're obviously excited about. We've shared on prior calls that we believe that will be a $50 million top line, $10 million bottom line in the next three to four years. So that's a very nice business that, again, we have a healthy pipeline of great companies we're talking to there. The other path we can take, and they're not exclusive, we could take both paths is, as you say, acquiring markets outside the top 50. The last acquisition we did was almost exactly three years ago to the day with Cherry Creek. And at that time, we shared that our goal was to double the profit of Cherry Creek within three to four years, and we did that in 2.5 years. So we've demonstrated that we can take a traditional local radio broadcaster and transform it into a Digital First Local Media Company and even in a slightly declining broadcast market, grow overall profit. So we -- I believe we're one of the natural acquirers of markets outside the top 50 because we've demonstrated that expertise in growing our digital and growing other people's digital. So it's very, very fortunate for us to be in a situation where we don't have to acquire anything to grow quite nicely. But yet if we do acquire, we've demonstrated over time and time again that we can grow top line revenue and grow profit significantly because of our digital attributes of Ignite and Townsquare Interactive. So we very much look forward to deregulation. Our expectation is that's probably something significant in the first half of 2026, and we'll be very well situated with these two paths that we can go down. So I appreciate the questions this morning, Michael.
Michael Kupinski: Thanks, Bill. That's all I have. Thank you.
Bill Wilson: You got it. Have a great day.
Operator: Your next question comes from Patrick Sholl of Barrington. Please go ahead.
Patrick Sholl: Hi, good morning. Maybe following up on the media partnership area. So over the next few years, you said that you see like an opportunity to have that to a $50 million run rate revenue business. I was curious like how widely penetrated outside of your markets outside the top 50, you think you would be at that stage? And just how much additional room for growth you would expect from that?
Bill Wilson: Yes. Great question, and good morning to you, Patrick. Thank you for being on and asking the questions. Yes, as you noted, we believe it will be $50 million in three to four years top line and $10 million profit. The opportunity, I want to temper my optimism, but it's so significant. The level of conversations and interest that we've had continues to expound quite nicely month-over-month as people are sharing anecdotes and the people we're partnered with are sharing their experience with their colleagues across the industry. So with the ones we have today, it's only been about a dozen markets from the ones that we've announced. And obviously, there's literally hundreds and hundreds and hundreds of markets outside the top 50 that we can partner with. And that said, with Steel City, who's been a great partner with us, we're in Pittsburgh and Kansas City. So those are larger markets. It's not the core Townsquare philosophy. And those are going quite nicely. So I think as we've said for a long time, it's not that our digital solutions won't work in the top 50 markets. We know they will. We're doing that with Steel City. It's more that when you take it outside the top 50 markets, the competitive moat and the differentiation is so much greater as a result. That's why we stick to our knitting and do that. So going back to your original question, the opportunity in terms of continuing to partner outside the top 50 is quite significant, literally hundreds and hundreds of markets. And that's why we're so excited about or -- and we don't want to deemphasize our organic growth because I said before, in Q1, we grew our digital advertising 8%, $37 million in Q1, incredible profit margin on the digital advertising as well as on Townsquare Interactive. So -- and that was only $1 million of media partnerships. So we're growing quite nicely organically. But then when you layer in this new business unit, that's why we're so excited about the next three to five years for Townsquare. So I'll toss it back to you, Patrick.
Patrick Sholl: Thank you. On Townsquare Interactive, do you have -- can you like maybe talk about any changes in how your interactive subscribers are dealing with the tariff and, I guess, supply chain uncertainty in the current environment versus a few years ago and how that -- how you're seeing that affect subscriber trends?
Bill Wilson: Yes. I'll start with because we've gotten questions through, obviously, the last particularly six weeks about the environment. So I'll start with just in general, not specific to Interactive, because we saw a significant -- I'm sure I think every American citizen did, Liberation Day of April 2nd, the level of uncertainty, obviously, of just what the impact of these tariffs are going to be and then obviously pausing them and what's transpired over the last six weeks. And then the daily developments, be it the announcement this morning of a trade deal with the U.K. or the negotiations this weekend in Switzerland with China, so forth and so on. But my point is, in April, we saw a significant pause across all business lines on broadcast advertising, digital advertising, Townsquare Interactive. And I think everybody would expect that to have been the case given the level of uncertainty, particularly from Liberation Day until, I call it, mid to late April. And then we've seen May and June pick up quite nicely. And I think that's because of the communication from the administration about wanting to doing trade deals. Treasury Secretary Bessent saying, in essence, the tariff levels are unsustainable, and we're going to solve that. So when they're solved may still be an unknown, but they will solve them. And that has, in essence, given the clients that we work with greater confidence to resume their spending. So on the advertising side, and the interactive side, we saw, I'd say, a couple of point decline across the Board in terms of revenue as a result of this level of uncertainty. We see May better than April. There is a little bit of lag with our digital advertising. Since those are more longer-term deals, the April uncertainty actually impacted May digital more than it did April. But for broadcast, it impacted April more and May looks better and June looks better for both digital advertising and broadcast advertising. So May better than April and June better than May. And that's the same situation with Interactive going to your original question. We've seen a nice uptick and really even the last seven to eight business days, resuming what I would say was where we were back in March before Liberation Day with Interactive. So I think that level of uncertainty for those smaller businesses clearly had an impact. And that's inherent in our -- I think Stu referenced that in Q2 for Interactive, we expect low single-digit revenue growth compared to the 4% growth in Q1, which was double the 2% in Q4. And I think that's really somewhat muted because of that April uncertainty. But again, as we sit here on May 8, May looks much better across the Board for our company and June looks even better than May, which is great. Yet, like everybody, we look forward to the tariff uncertainty being more certain in the future, but we're navigating those waters quite well. And I think as I highlighted, in this level of uncertainty, our performance of growing profit overall, 6% ex-political, 3.5% with political, I think clearly shines a light on our differentiated local first media strategy. And we've really evolved from being a traditional broadcast company in 2010 to today in 2025 being that Digital First Local Media Company. So hopefully, that answers your question about tariffs on interactive, but also I obviously broadened the answer, because I know it's on people's mind overall. So hopefully, that was helpful, Patrick. I'll toss it back to you in case you have anything else.
Patrick Sholl: Yes, thank you. That was very helpful. That's all I had. Thank you.
Bill Wilson: Thank you. Have a great day.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I will now turn the conference back over to Bill Wilson, Chief Executive Officer.
Bill Wilson: Thank you so much, operator. And most importantly, thank you for all taking the time to get updated on not only our Q1 results, but obviously reaffirming our full-year guidance for revenue and profit and providing you hopefully a detailed look at Q2 and what we're experiencing and really the strength, the competitive advantage, the differentiation that we continue to highlight the evolution and the transformation of Townsquare into a Digital First Local Media Company. Hope you have a great day and looking forward to talking to many of you in the coming weeks. Take care.
Operator: This concludes today's conference. Thank you for attending. You may now disconnect your lines.